Operator: Good morning everyone. Thank you for standing by and welcome to Volaris' Fourth Quarter 2014 Financial Results Conference Call. All lines are in listen-only mode. Following today’s prepared remarks, we will open the call for questions-and-answers. Instructions will be provided at that time. Please note that this event is being recorded. I would now like to turn the call over to Mr. Andrés Pliego, Volaris’ Investor Relations Manager. Please go ahead, sir.
Andrés Pliego: Thank you. Good morning, everyone and thanks for attending. On this call with us is Enrique Beltranena, Chief Executive Officer; Fernando Suarez, Chief Financial Officer and Holger Blankenstein, Chief Commercial Officer. They will be discussing our fourth quarter and year-end 2014 results and afterwards we’ll take your questions. This call is for investors and analysts only. Before we begin, please let me remind everyone that some of the statements we will make on this call will constitute forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to a number of factors that could cause Company's actual results to differ materially from its expectations, for reasons described in the company's filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statement. For our opening remarks, I will turn it over to our Chief Executive Officer, Enrique Beltranena.
Enrique Beltranena : Thank you very much Andrés and good morning to everyone. Thank you for joining us. I will begin with an overview of our business and I will like to present the main operating highlights that drove our financial results for the quarter. Then I will share some insight over of the status of recent events before turning it over to Fernando for an overview of our financials. Let me start. In short we had an amazing December that drove a strong fourth quarter result. As a result of our capacity discipline continuing, non-ticket revenue growth and our focus on cost control Volaris produced a fourth quarter adjusted EBITDAR margin of 31%, a 16 percentage points improvement of our prior year. Net margin reached 18%, 21% percentage points better than last year. Our 2014 fourth quarter results were even better than our historically stronger third quarter performance reflecting a sequential improvement of market conditions. For the full year adjusted EBITDAR margin reached 22%. In light to the above 2013 net margin reached 4% for the full year and 2 percentage point increase compared to 2013. In 2014 Volaris continue to refine its ultra-low-cost-carrier model with the following results. First [indiscernible] improved as a result of several factors, but most important because of a solid structural our growth in non-ticket revenues of 81% in the fourth quarter year-over-year. Our improved network is more diversified that has extensible and resilient structure with higher international capacity increasing the natural hedge to exchange rate volatility. We expanded our market penetration in key markets as well Harrat International and Monterrey Domestic while managing domestic capacity with lots of discipline. We increased passenger traffic by 13% in the quarter. We increased load factor to 82%, 5 percentage points of our fourth quarter of 2013 and we achieved the highest passenger per departure number in the Mexican industry in the quarter. It is 48% better than the industry average. We maintained our historically high aircraft utilization of more than 12 hours a day. We maintain fleet age of four years by replacing all the A319s with higher seat density A320s, and we maintain the lower unit cost in Americas. All of this elements represent a substantial turnaround of our operating and financial results achieved during the second half of 2014. During 2014, we transport 9.8 million passengers, which is an increase of 10% year-over-year. In particular, October and November performed in line with the sequential improvement that we reported in the third quarter, but in addition December was a very strong month. The improved demand environment in the Mexico market enabled us to transport nearly 1 million passengers in December alone, which was 13% year-over-year. While Volaris only focuses on profitability, we also view our improving market-share as a very strong validation of the power of our ultra-low-cost-carrier business models and customer preferences for low fares. During the year, Volaris has expanded its market-share among Mexican carriers to 23%. In December alone, our domestic market-share was 25% in terms of segment passenger, already a fourth of the market. Many years ago I remember when we started operations, the domestic and international passenger market was somewhere around 22 million and 26 million passengers respectively. At the end of 2014 total domestic market in terms of segment passengers grew 8% for 2014 up to 32.9 million segment passengers in the total international market in terms of segment passengers grew 9.2% to 33.6 million segment passengers despite market rationalization where 11 brand operators in this period of almost 10 years disappeared trying to make it. In addition to an improving demand environment in the fourth quarter, broad strategic initiatives contributed to generated revenue gains for Volaris. At the end of 2014 our network was a very different and more defensive network than at the end of 2013. Within our point-to-point network on VFR market we proactively redeployed capacity during 2014, expanding and diversifying a network with more than 95 routes where we either launched new capacity or we grew capacity on existing routes. In 2014 we opened 36 routes including five new destinations to the United States reaching 18 total U.S. destinations. We also reduced capacity more than 45 routes, all while becoming more resilient where our business has been strong. In the domestic market, we have readjusted our capacity expansion plans to meet the challenges of a very competitive market. Despite lower fuel prices, we will continue to remain very disciplined in capacity and more disciplined in pricing during 2015. We will also continue to further diversify and strength in network. If we needed we have enough flexibility to either contract or expand capacity growth as supply and demand conditions indicate. We have started to see some improvement in the domestic revenue environment in Mexico. For example our review of today’s published inventory suggest capacity into one of domestic market and sales for the first quarter of 2015 is down 10% in a sense on the year-over-year basis. Similarly we can see now that while Harrat capacity is down 4% in ASMs year-over-year. Based on the result for the fourth quarter and going into the first quarter, we're seeing that the supply and demand for aircraft fleets is a realigning and that the current environment is starting to improve. As a result Volaris' load factor has remained stable at 82.2% for the quarter and 82.8% for the full year, and we'll continue to be cautious with our capacity deployment but I am pleased to know that Volaris now offers more domestic routes than any other Mexico e-carrier. After a year of operating with our reservation system Navitaire, we recognized that the system has helped building our ancillary revenue platform. We've structurally strengthened our product suite and have added many new ancillary revenue in each of these. This includes the substantial launch of ancillary bundles, higher uptake in seat selection, and important increase in our VClub memberships as we reached more than the 100,000 memberships and over a 250,000 members. In a scenario where fuel cost could potentially go back up, the margin growth already built in by our non-ticket revenue per passenger strategy will be even more important. We do not have a conflict of interest in going after bus passengers. Therefore we continue implementing a very successful bus switching campaign. In the fourth quarter for example we did an allocation and trial plan which went viral. We gave away 20,000 tickets targeting bus customers which produced a viral, impacting more than 20 million people and for example we did get 8.4 million views in Twitter. There we became a trending topic. For the full year in 2014, our cost per available seat mile in U.S. dollars increased 11% compared to 2013, maintaining our commitment to keep unit cost at the lowest level in the Americas. Our U.S. dollar cost per available seat mile in the month of December was already $0.46 without fuel. Despite Mexican peso depreciation versus U.S. dollar, which have impact over our unit cost expressed in pesos, on the revenue side we continue to build our natural hedge as U.S. dollar denominated revenues reached 34% in December alone. A number of operational accomplishments in the fourth quarter including achieving an on-time performance of 85%, block time daily utilization about 12 hours in December alone almost 13 hours and maintenance aircraft reliability of 99.7% during the quarter. Now let me turn the call over to Fernando Suarez, our CFO who will review the financial performance of the period. Fernando please go ahead.
Fernando Suarez: Thank you Enrique. Now let me expand on our financial performance during the fourth quarter of 2014. For Volaris international ASMs had a 14% growth during the quarter and 17% for the full year. While domestic ASMs showed stable growth quarter-over-quarter and 6% increase year-over-year. This resulted in a total 3% ASM growth for the quarter and 8.5% for the year, reflecting disciplined capacity management. Total operating revenues for the fourth quarter were 4 billion pesos, a 24% increase compared to the same period last year. This is the result of an improved domestic market environment, growth in the international market, capacity discipline and strong non-ticket revenue growth, validating a change in trend observed since the third quarter. During the fourth quarter, our non-ticket revenues reached 818 million pesos, a growth of 81% compared to the fourth quarter of 2013. On a non-ticket revenue per passenger basis, we reached a record of 313 pesos, a growth of 61%. If we were to exclude cargo, non-ticket revenues per passenger increased by 86% in the fourth quarter. Non-ticket revenues reached 21% of total operating revenues during the period, up from 14% in the same period of the prior year. Other initiatives we implemented during the quarter which have contributed to making our operations more efficient, including a new iOS mobile application, which was launched in December helped us to facilitate managing promotions and offering discounts to our customer base. In the fourth quarter TRASM was 21% higher year-on-year, driven by a solid growth in non-ticket revenues per passenger. On the cost side, TRASM in dollar terms for the fourth quarter decreased 10% compared to the same period in 2013. CASM ex-fuel reached $0.51 in the fourth quarter and $0.49 for the full year, a decrease of 3% and 9% respectively. In Mexican peso terms, CASM was 116.4 peso cents, an increase of 1.5% during the quarter pressured by a higher average exchange rate for the period. In the fourth quarter, fuel cost represented 36% of total operating expenses, four percentage points lower than in 2013, despite a pricing lag from our main fuel provider in Mexico. In the fourth quarter, Volaris experienced pressures in other U.S. dollar denominated costs such as aircraft rents, international airport costs, and maintenance expenses. However, Volaris managed to offset most of these increases with efficiencies in salaries and benefits costs and landing, take-off and navigation expenses. As a neutral low cost carrier, we are best positioned to benefit from declining fuel prices. We have started to benefit from such declining jet fuel prices in the fourth quarter and would expect to continue so in the present quarter. Volaris had continued to remain active in its fuel risk management program. Fuel hedging activities are conducted with a combination of instruments, including jet fuel swaps and purchase of call options. In the fourth quarter, we have hedged 26% of our fuel consumption through jet fuel swaps. For the first quarter of 2015, we have hedged 29% of our expected consumption through jet fuel swaps and call options at an average price of $2.53 per gallon. For the remaining three quarters of the year and the first-half of 2016, we have primarily purchased call options to hedge 43% and 7% of expected consumption at average prices of $2.08 per gallon and $1.79 per gallon respectively. In the fourth quarter, adjusted EBITDAR was 1.2 billion pesos with a record 31% margin. EBIT reached 426 million pesos, up 17 percentage points compared to the last quarter of 2013 to an 11% operating margin. Net income for the quarter reached 703 million pesos representing a net margin of 18%, an expansion of 21 percentage points relative to the fourth quarter 2013. On an earnings per share basis, we earned 0.69 peso cents per Series A shares and $0.47 per ADS. Committed to create shareholder value, our pre-tax lease adjusted return on invested capital or ROIC for the full year was 14%. During the fourth quarter, Volaris generated 470 million pesos in cash from operating activities and 342 million pesos in total net cash. We continue to strengthen our balance sheet and maintain a good liquidity position. Volaris had 2.3 billion pesos in unrestricted cash as of December 31st representing 16% of last 12 months revenues. The Company continued to record negative net debt or a positive net cash position of 1 billion pesos. During the fourth quarter 2014 Volaris incurred capital expenditures of 372 million pesos, which included pre-delivery payments for future deliveries of aircraft, net of refunds of 189 million pesos. As of December 31, 2014 the Company's fleet was comprised of 50 aircraft continuing with the up gauge more A320s than A319s with an average age of four years. Volaris closed a year with the largest narrow body fleet among Mexican Airlines. Looking into 2015, we expect to end a year with 55 aircraft including our first two A321s. As we continue to plan for the year, our ASM capacity guidance for full year of 10% to 12%, broken down 2% to 4% domestic and 33% to 36% international, reflecting cautious capacity management in the domestic market and a strong expansion in the international market. For January and February of this quarter we continue to see improvement in the market environment as continuous capacity discipline is driving stronger unit revenues on a year-over-year basis. We continue to enjoy the tailwinds of a lower fuel environment plus continuing growth in our ancillary revenues, which should drive improving financial performance on a year-over-year basis for the quarter. For the full year, assuming rational capacity growth in the market, coupled with current fuel and exchange rate environment, we hope 2015 will result in continuing recovery of the Mexican aviation market. Now I'll ask Enrique to make his closing remarks before we open the line for questions.
Enrique Beltranena: Thank you Fernando. You did a great job. I would like to mention that the first of 2014 was very challenging for Volaris. However as we have shown in our turnaround for the second half of the year, our team efforts and hard work on the network and revenue strategy resulting in finding ways to demonstrate as we already mentioned our commitment to generate volume return for our shareholders. ROIC was 14% for the year. We continue to build solid foundations for strong and profitable growth in 2015. Before finishing I would like to thank you very much to the whole Volaris team, but most important the management team for their efforts in this very challenging year. Thank you for your attention. At this point I would like to move on to your questions. So operator please proceed to open the Q&A session.
Operator: (Operator Instructions). Our first question is from Duane Pfennigwerth from Evercore. Please go ahead.
Jeff Eisenberg : This is Jeff Eisenberg for Duane. Wondering, what contributed to the strong sequential improvement, if you could talk about that on the ancillary line? And then how should we think about that going forward? In particular is the fourth quarter seasonally stronger or can it be expected to sort of grow from here quarter-by-quarter throughout 2015?
Holger Blankenstein: This is Holger, Chief Commercial Officer. I would like to highlight a couple of things on the non-ticket revenue in the fourth quarter. We launched a couple of new products like ancillary bundles which is our premium and basic ancillary combo and we also launched a couple of travel related products such as hotels and rental cars where we earn a commission. And we expect to -- we saw some maturing of existing products that contributed to this significant growth. So new products that I mentioned and existing products that are maturing. Excess [ph] back continues to be our most important ancillary which has also had a nice uptick in the fourth quarter. And as we look forward to 2015, we are continuing to mature our product that we launched in 2014, such as Retail OnBoard and carry-on bags and we also continue to have a long pipeline of products and services that we are planning to rollout during 2015, such as travel commerce and some other on-board options for the customer. We do recognize however that growth in the 4Q of 2014 was exceptionally strong. However ancillary revenues continues to be a cornerstone of our commercial strategy. I hope that answers your question.
Jeff Eisenberg : And then if I can follow-up with -- if you could talk about how much of the yield improvement in the quarter was driven by domestic Mexico versus International, I'd appreciate that. Thanks.
Enrique Beltranena: Well in general both markets have a solid yield recovery, driven by the capacity discipline in the domestic market and reasonable revenue management tactics by all players. However in the international market we also saw yield improvements and as grew into some of the new markets we were able to ramp up the yields in some of the new markets internationally.
Operator: Our next question is from Michael Linenberg from Deutsche Bank. Please go ahead.
Catherine O'Brien: This is actually Catherine filling in for Mike. First I just wanted to congratulate you guys on such a great quarter. And then I just wanted to understand a little bit more how much do you think the improvement in non-ticket revenue you would attribute to your new revenue management system which allows for a dynamic pricing and how much would you attribute to the addition of new products in your baggage policy change?
Enrique Beltranena: I think it's very difficult to establish a difference between the two numbers, but I think both things are happening.
Catherine O'Brien: And then also, you mentioned that U.S. dollar denominated revenue represented 29% of total revenues in December quarter, but I believe as the percentage of seats from sales in U.S. dollars are higher, could you share that number with us and how does that compare to your U.S. dollar denominated cost?
Enrique Beltranena: Yes, Catherine 29% of the revenues in the fourth quarter came from the international operation. We mentioned in the call earlier that in December alone that figure is already close to 34%. When it comes to actual cash U.S. dollar collection, that figure is above. It's closer to 40%, almost 40% because of the de facto remittance systems that we have. We get more than proportional share of U.S. dollar collection than Mexican peso. Moving on to the cost side, still about two-thirds of our cost structure is dollar denominated or dollar linked. However given that fuel has been decreasing as a percentage of total cost that figure has gone slightly down and as we grow our operations into the U.S. and in the International market, we continue to build that natural hedge that protects us from exchange rate volatility.
Catherine O'Brien: If I can just sneak one more in, just given your commentary on the yield environment international routes and the fact that you're expanding into international route system again this year, do you expect to continue to see these kind of yield improvements that we saw in December quarter; maybe not quite as high on a year-over-year basis, but in general do you feel like just given the changing mix of the networks we could expect this yield to continue to grow so long as the Mexican domestic market remains stable as it is today?
Enrique Beltranena: Well as Fernando noted in his remarks, we expect capacity to continue to grow in the international market, way above the domestic market, around 33% this year. So the average fair in the international market is higher. So overall there will be a yield increase, but driven by a higher international fair. We remain cautiously positive about the yield environment, both in the domestic market and in the international market.
Operator: Our next question is from Stephen Trent of Citi. Please go ahead.
Kevin Kessinger: This is Kevin Kessinger stepping in for Steven Trent. Very useful color on the yield, and also thank you for giving us some preliminary guidance for 2015. Now I just wanted to circle back on that. Now full ASM for 2015 you said 8% to 12% and for international 33% to like 36%, but I didn’t catch the domestic.
Enrique Beltranena: Yes Kevin. The full year guidance is 10% to 12% ASM growth broken down between domestic 2% to 4% and international 33% to 36% for 2015.
Kevin Kessinger: And just I couldn’t see in it the press release but you did kind of disclose some of your jet fuel hedges and it kind of -- it went a little too fast for me to actually follow. If you could just circle back on that, what you have in place for like 1Q ’15. The rest of ’15 I think you said some -- you had some going out into ’16?
Enrique Beltranena: Of course we also have in our investor presentation. I’ll run it through you again. We have hedged 29% of expected consumption for the first quarter at a price of $2.53 per gallon, and then for the remaining three quarters of this year we have 43% hedged at $2.08 per gallon and we have already started to hedge the first half of 2016 with 7% at a price of $1.79 per gallon. And this is done primarily by way or purchase of call options, purchase of call options for 2015 and ’16.
Kevin Kessinger: And then maybe I guess more on the fuel side, maybe digging a little deeper, have you observed any policy changes from Alphamax or from fuel distributors that could impact price of the domestic jet fuel currency in New Mexico, increased volatility via crack spreads, like higher fees that are getting passed on to you guys or anything like that?
Enrique Beltranena: No, we have not seen that. It remains the same until today, and they have not announced anything.
Kevin Kessinger: And then finally I guess just a very open ended question. How do you guys feel about improvement relationship between U.S. and Cuba and could that positively impact your route flight strategy in the Caribbean? Or is that I guess general [indiscernible].
Enrique Beltranena: We said on our road show we are planning to open some Caribbean Canada and Central American routes. It is a matter of time that we will start tackling them and we hope that it works pretty well. We -- since the relationship between the U.S. and Cuba reality has nothing to do with the commercial relationship between Mexico and Cuba, we don’t have any comments on that.
Operator: Our next question is from Helane Becker from Cowen & Company. Please go ahead.
Helane Becker : So here is one of my questions. I know that OpenSkies between and USA and Mexico take affect January 1st. So as you think about your expansion, I know AeroMexico has said that they were going to expand more connecting routes over Mexico with their codeshare agreement with Delta. So kind of have you thought about a potential codeshare with U.S. partner and how you thought about OpenSkies and the amount of expansion you'll be able to do in 2016?
Enrique Beltranena: Helane specifically we have not done anything codeshares. It is very difficult to make a codeshare when you have an ultralow cost carrier airline, because what you end up sharing -- because the fares being so low is very low on a per ticket basis. And we are seeing the opening with very good eyes and we think that there are some opportunities for us, some specific markets like Houston to Mexico where we today have two operators who are basically the same airline in both sides, on the one side is U.S. and in the other side in Mexico. So we see opportunities there. And we on the other side, if you remember, we have more than 150 U.S. Central America Canadian destinations that we want to achieve and we today only are operating in like 40% of them. So we clearly have a plan of expansion and continue expanding our network in a point-to-point system to the U.S.
Helane Becker: And then just a different question related to fuel and non-fuel unit cost. So you did a great job in the fourth quarter of keeping them -- growth low there. How should we think about that for 2015?
Enrique Beltranena: We continue with cost discipline. Definitely 10% to 12% ASM growth will clearly help unit cost as well, with higher growth and in addition to that the up gauge that we're obtaining from A320 fleets and our retrofits of the existing A320s to maximum density, that also helps dilute the fixed cost further and hence bring down unit costs.
Operator: (Operator Instructions). Our next question comes from Ana Reynal from Santander. Please go ahead.
Ana Reynal : I just have one question. If jet fuel prices stick to where they are now, and considering already your hedges, what could we expect in terms of CASM fuel year-over-year in the first quarter of 2015?
Enrique Beltranena: Well at this stage Ana, we’re only giving capacity guidance for the year. We do have a sensitivity that we share with you taking into consideration the hedges that we already have in place, assuming all the other things equal that is fuel where it is and exchange rate, for every $0.10 change in the price per gallon we can approximately expect 100 basis points improvement in operating margin.
Fernando Suarez: And something you should take in account is we do have a large between, I mean in the prices of…
Ana Reynal : Yes, it's three weeks, right as I reflect…
Fernando Suarez: Four to five weeks. So we only have the benefit of the oil I would say in the last couple of weeks of November and then the four weeks of December still have a lag of about four to five weeks. So you should expect a lower fuel cost for the first quarter versus the last quarter.
Operator: Unfortunately we have no more time for questions. I would like to turn back to Mr. Enrique Beltranena for closing remarks.
Enrique Beltranena: Thank you very much for your attention. Thank you very much for your support during this very, very difficult year. I am glad that here we are with a turnaround of the situation and with a margin expansion reaching adjusted EBITDAR margin of 31% at an operating margin of 11% which I think it’s quite of an achievement. Thank you very much for your patience and we’re glad we’re back here at these levels and that we are providing these level of results. Thank you to the team. Thank you to the Volaris family.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.